Operator:
Martin Adams: Hello. Good morning. I'm Martin Adams, I'm the Director of Investor Relations here at Wise. Thank you very much for joining us this morning for our FY '24 Results Presentation. We will have about 30 minutes of presentation, which I'll hand over to Kristo to start in one second. After the slide presentation, we'll move on to Q&A. And as we always do, we'll start in the room, and then I'll facilitate through Zoom as well for those joining via Zoom. So, with that, I'm pleased to introduce Kristo. Thank you.
Kristo Käärmann: [Technical Difficulty] for joining in the room. Really good to see some old-time owners in the room. I'm Kristo. I'm today joined by our CTO, Harsh, and our CFO, Kingsley, for the other parts of the presentation. So, first of all, let's kind of remind ourselves why the 6,000 people who come to work here, because we're here to build money that works without borders, building the best way to move and manage the world's money, minimum fees with maximum ease and at full speed. I started Wise because there's a huge inefficiency in how money works across borders. For many people and businesses, it actually feels pretty broken. And this is a large and worthwhile problem where we see our solutions are working. We built a profitable, fast-growing company to work on this mission. And the way we're doing this is we're building it through a completely new infrastructure for the world's money, so that it can flow across the borders efficiently, fastly, cheaper, as it now does domestically, but now across borders. And we're bringing this foundational infrastructure and technology to people and businesses through products that they love and they want to recommend, and there's so much demand for what we're building. Most of the people and businesses are still stuck with their slow, expensive bank, who's trying to hide their fees in made up exchange rates. And we've been hearing this from our customers. So, first of all, people. People are telling us it's expensive and painful to pay someone in another country to move money between their family accounts. And we've been knocking down this friction. We're making transfers faster. We're making it cheaper, making it more convenient for people to move money. Businesses. Businesses are telling us it's impossible to operate internationally, because no bank can support their international activities. And we have created the Wise account, which has turned out to be hugely popular for them. We'll hear quite a bit about Wise account later. And finally, banks. Banks themselves are telling us, they know well that their customers deserve better, and they want better, but it's so hard for them to create the same kind of service through the traditional infrastructure. So, they're coming to us, and we made our infrastructure available through Wise platform for the banks to build up. In the end, we're actually seeing these solutions working, because we see it in customer numbers and we see it in adoption. Last year, this financial year that we just finished, we served 12.8 million, 12.8 million cross-currency customers, moving £118 billion and keeping £16 billion on their Wise accounts across cash and assets at the end of the financial year. Yet, we're still in the very beginning of the mission. As you recall, we're touching less than 5% of cross-border flows for people and just scratching the surface for businesses. And our growth, as a reminder, comes from the products and experiences that our customers want to evangelize, they want to talk to their friends about. Growth give us scale, which lets us invest even more into these experiences into cheaper and faster infrastructure, which in turn brings more evangelical customers to us. And we now see the effect of this product-led growth, this flywheel in numbers. In the last three years, we have more than doubled the number of customers we serve, which in turn has more than doubled the volume we move across borders. We built in strong unit economics that lead to financial durable company with a strong balance sheet, adding nearly £0.5 billion this year. With that, I'll hand over to our CTO, Harsh, who will take us through what we have been building in the last financial year and what we're building for our customers and partners going forward. Thanks, Harsh.
Harsh Sinha: Thanks, Kristo. Welcome, everybody. Good to see you all here, and thanks for those who joined on Zoom. So, as Kristo shared, we are building the network for the world's money. The experiences in cross-border money movement are so broken that we had to go and start from the basics to improve things, such that we can build amazing experiences on top of this network. And when we build on top of this network, this leads to amazing expenses that our customers love and rave about to others. So, over the years, we've made significant progress on this infrastructure. Just calling out a few highlights through the last financial year. We moved £118 billion cross-border through this network. 62% of our transfers were instant. This means they go from source account to destination account across borders in less than 20 seconds end-to-end. This is something we are very proud of and something that's very unique to Wise. Going back even five years, cross-border money movement within 20 seconds end-to-end, and consistently, this high percentages was unheard of. Our network operates in over 160 countries in 40-plus currencies across 65 licenses. We now also have five direct connections to local payment systems. Where we don't have a direct connection yet, we operate with a robust set of partners, which amount to over 90 partners across the world. And we have over 800 engineers working on this problem globally. We believe this is one of the largest engineering teams in the world working on the problem of cross-border payments. So, why do we do this? Why do we invest like this? All of this is an outcome of our fundamental learning over the last 13 years, that the company that really builds the best infrastructure will eventually take a large market share, and we'll build a very superior product to solve this massive problem of cross-border money management. And this is why we continue to invest with the longer-term view. Whether it's working for years on direct connections, continue to add more redundancy to our partner network, continue to add new licenses, or opening up new countries and new products, or working closely with regulators to meet local requirements and also give them feedback to evolve requirements as the world is changing around us. Through the last year, we made significant progress on this infrastructure, but I'll call it three big ones. First, in Australia, we became the first non-bank to get direct access to the local payment system. This gives us instant payments in and out of Australia for our customers and also a lower price. But finally, it also gives us independence going forward in the Australian market. The other one that we are really proud of and is another big win is the Japanese market. So, we got a Type 1 license in the Japanese market, and we became one of the first non-Japanese firms to complete this multiyear process to get this license. So, you should ask, why did you spend so many years doing this? Previously, we were limited to JPY1 million per transfer for our customers. Now with this license, this limit has been removed. This not only helps our existing customers who have been asking for a higher limit, but we believe it also opens up the product to a larger consideration set and larger number of customers in Japan who would potentially not have considered us before. Finally, correspondent services in collaboration with Swift. So there are over 11,000 financial institutions connected to Swift, mostly banks. And as we talk to these banks, we now hear from the business side of folks and business side of the banks, folks who are running transaction banking, correspondent banking, that they see the value of what we've built, and they want to connect to our network, and they want to provide our network to their customers. But it's my counterparts, like the CTOs and the technologists who tell them that it's going to take not months, but years to upgrade the systems and do these connections through an API-based interface that we've had for a while. So, we went back to the basics and figured out a solution where now, through connecting with Swift, banks can change their correspondent to Wise, which allows them to start dipping their feet into using the Wise infrastructure and sending volume through us. And basically, it becomes similar to a config change that banks know how to do. From the perspective of building and servicing this infrastructure, we continue to invest in the tech that helps us scale. Our AI and machine learning models operate on a global dataset that we see across our network to make fast and automated decisions while fighting financial crime effectively. So, this helps us keep costs low, evidenced by our lower prices over the years, while we still operate profitably. And also provide a superior and compliant customer experience. Compared to the incumbents who rely a lot more on manual processing, our ability to use this technology helps us reduce false positives for our agents. So that when transactions are flagged for reviews by the agents, the agents are focusing on the right things. Similarly, we focus and we apply machine learning to predict our liquidity movements and requirements to meet and move money around the world so that we can do payouts fast. This is what leads to outcomes like the 62% instant transfer number that you saw before. We also continue to invest in the tooling to help our agents. So, FinCrime investigators, due diligence agents, CS agents need to review transactions or may take customer calls, they have all the relevant information presented to them in a way that they can get their task done faster and with accuracy. We operate in over 160 countries across 11 different languages and seamlessly serve these customers across our global data -- global centers 24/7. I'll give you a data point on how things have improved from a servicing perspective. So, earlier at the start of the financial year 2024, for doing checks that needed humans to review folks when we are onboarding customers, it would take on average about 13 hours. With the automated work that we've done and the investments we've made in the tooling, by the end of 2024, now for these manual checks, an average time of 2 hours is needed for these agents. So, all this investment leads to outcomes like this in speed and price. As I said before, the 62% instant transfer number, but what I'm also really proud of are the other two numbers on speed; 83% of transfers now go through our network in less than 1 hour, and 95% of transfers complete within a day. This is unheard of numbers in cross-border payments. And on price, we've operated at 67 bps blended price for most of 2024, and we continue to put downward pressure on price while still remaining profitable. We are really pleased to have been able to drive unit cost efficiencies in 2024, which leads to a price drop in Q1 of FY '25 of about 2 basis points. Now, talking about the products we build for our customers. We create experiences today by investing in three core products: the Wise Account, Wise Business, and Wise Platform. For the Wise Account, I would like to call out that we've rolled out now interest assets, enabling the ability for customers to receive a yield on their funds held with us as interest rates have gone up. And now this product is rolled out to five additional EU countries. We also rolled out stock assets to 11 more countries. For receiving, we made it easier for people to receive funds from their friends and from -- for businesses too, and we've enabled a feature called Wise Tag that makes it much, much easier to receive. We've also enabled Swift details in more currencies. And finally, on the transfer side, we've improved the product for people, especially expats living in China, if you look at -- if you see the experience that expats have in China, it's very, very hard and a poor experience for them to move money out of China, and we've started dipping our feet in that market. It's still early days there. We've also enabled the ability for businesses to send up to USD10,000 in Brazil. On Wise Business, we reopened the European market -- the product for European businesses to onboard. Some of you may remember, we chose to slow down or stop onboarding for EU and UK businesses for a period last year. This was to make sure our existing businesses and those who were already waiting for the product had a better experience onboarding. We worked through that demand and reopened for onboarding for UK and EU businesses in Q4 of FY '24. For assets, we have made the product available now to businesses in UK, Europe, and Singapore. And actually, businesses now hold £1.4 billion in assets. That's 20% of business customer holdings are in assets. And finally, we continue to invest into making the experience of onboarding and using our product for businesses much easier. We made quite a bit of improvements on the onboarding and verification experience for businesses in the last year, and we'll continue to invest there. Finally, Wise Platform. We have 85 partners now connected to Wise via the Wise Platform. Calling out a few, we have now connected, Mox, which is Standard Chartered's neobank in Hong Kong. Also, GMO, which is a large bank in Japan, which is now connected to Wise and using Wise as their platform to enable their customers to move money around the world. For non-banks, we also have Agoda, which is a large travel platform in Asia that is now using us. And finally, I'll call out one interesting launch we did. So, we built a new product. Some of you hopefully are customers in the room, who use the Wise card. And we have now enabled others to issue cards over a Wise infrastructure. So, Parpera, which is a Australian bank, they launched this product on us, where Parpera cards are powered by Wise. But what we learned with that in FY '24, some of you might have seen we launched -- announced our Nubank integration. Nubank is one of the biggest -- largest banks – fastest-growing banks in Latin America. So, the learnings of that Parpera integration helped us then lead to the deal with Nubank, and we've been able to launch with them in this year. So, that's the launches, and that's what we've done. I'll give it back to Kristo.
Kristo Käärmann: Thanks, Harsh. We're now going to get a bit more into numbers. We're going to start with customers, we're going to talk about volumes, we're going to talk about financials, but all of that wouldn't be here if we didn't have the segment that Harsh just talked about. The only reason that these customers show up is the product that we built for them. And let's see how they show up. We added 5.4 million customers this financial year to Wise, cross currency customers, of whom we estimate 3.5 million joined because someone else recommended to use Wise. And this is a real testament to the products that we're building, the experiences that our infrastructure allows us to deliver. These customers come -- they really form stable cohorts and keep using Wise for years. And in fact, after some time, we see the volume from older cohorts become really, really durable. And we accelerated the addition of new customers, and the existing users keep coming back. So, we see the active customer base. So that's now those who used us, in the last financial year, growing 29% CAGR for personal and 27% for businesses. And that growth in active customers is geographically pretty evenly distributed with an extra boost in in Asia Pacific and emerging markets. So, this tells us there is increasing demand for our services pretty much everywhere. So, as we saw, new customers lead to the growth of the active customer base, which in turn leads to more cross-border volume, which grew 13% in last year. But that is the only part of the story. As we've been reporting over the last few periods, we see an increasing adoption of the Wise account. This adoption has now reached almost half of our personal cross-currency customers using the Wise account and 60% of businesses. And let me give you a few more data points why that is relevant. First of all, balances. Customer balances have been growing fast, with people trusting us more and more of their money. We're seeing fast adoption in assets in the UK and Singapore, and as Harsh covered, now Europe. And to be honest, we shouldn't be surprised. Not only is it expensive to hold money in traditional current accounts, but it's also unnecessarily risky. Like, why would you take a risk on the bank's balance sheet when you have government-guaranteed assets and government and central bank are borrowing at these kinds of rates? Those balances -- and seeing our core customer segment really taking advantage of the Wise account. But beyond this core segment, with the Wise account, we've actually created a completely new segment of users who only use the card. For example, it could be overseas travel, or it could be cross-border purchases. This segment has really been growing fast. It didn't exist before we had the Wise account. It's nearly doubled last year and is now making up 17% of our active, cross-currency user. They contribute to our cross-currency volume about the rate of £800 per quarter, and this added another £1 billion in cross-currency volume in the last financial year. They hold money with us, which generates interest income, and they contribute to the fast growth in our card and other revenue segment. So, this Wise account adoption that we talked about and this new segment of card-only customers have grown this revenue line, this other revenue line, about 45% last year to £256 million. And I'm not stopping -- I haven't stopped talking about the impact of the Wise account adoption because beyond this completely new segment of card customers, we see that the Wise account also attracts larger use cases in our core segment. So, we see the Wise account customers doing more with Wise, moving bigger amounts and contributing in other revenue lines compared to our transfer-only original customers. So, let's recap. We saw how our current customers are recommending Wise to more and more people. Therefore, our new customer base is growing, bringing bigger groups of customers across the globe to Wise. Customers are adopting the Wise account more, bringing more value to them, but also more income for us to reinvest in the product and services. And with that, I'll hand over to the CFO, Kingsley, to talk a little bit more about how it turns out in our financials.
Kingsley Kemish: Thank you, Kristo. It's great to see you all here. So, let's start by going back to 12 months ago to the income guidance we gave then in order to give some context on our reason for changing our key financial metrics to an underlying basis. 12 months ago, we set out our interest framework, and we gave guidance of 28% to 33% income growth for the year. This guidance was then increased twice during the year, and we ended up significantly above the original guidance at the end. The performance of our underlying business was a key contributing factor to this, but also important was the impact of interest rates and our ability to return the 80% of interest over 1% to customers. Because of the impact of the interest rate environment obscuring our underlying performance of the business, we've decided to move to focus on underlying income and underlying PBT as our key financial metrics. Underlying income is the revenue we earn from our broadening range of products, plus the first 1% yield on growing customer balances. Underlying profit before tax is then simply the profit before tax we earn on our underlying income. These will give a better insight into the health and growth of our core business, not distracted by external factors. So, with this in mind, let's get into the financials. As Kristo highlighted, we're seeing ever-increasing numbers of customers using Wise on a regular basis. This is evident in the active customers having grown by an average annual rate of nearly 30% over the last three years. This active customer growth is driving cross-currency volume, again, up on an average by 30% a year over the three years and balances up on average over 50% a year. This growth, in particular of Wise account adoption and usage, has led to average underlying income growth of over 40% and underlying profit before tax growth of over 80% a year over those three years since listing. This is showing that our product investments are paying off. Coming to the next -- to the last financial year. Last year, underlying income grew by 31%. This multiproduct growth applying equally across both personal and business customers. With the success of the Wise account, this underlying income growth comes from a broadening range of sources. As you can see here, nearly a third of underlying income in the last financial year was non-cross-currency income. With the strong balance growth, Kristo mentioned, of 24% in cash balances as well as the lapping the final period where interest rates were not greater than 1% throughout the whole time, underlying interest grew by over a 140%. Card and other revenue was also up over 50% as more customers adopted the Wise card and became more active and more loyal. The broad-based active customer growth that Kristo referred to regionally is leading to strong underlying income also in these regions. The growth is highest in the rest of world, particularly driven by Brazil, but other -- of other regions, Asia Pacific is the fastest growing, now sitting alongside North America and the UK as pretty equal contributors to underlying income. This shows the benefits of the long-term investments that we've made in the region, most recently with the completion of the integration into the new payments platform in Australia. And in this financial year, we'll start to see the benefits of the new license in Japan removing the JPY1 million limit. These are multiyear efforts, but will have a significant long-term benefit and help to drive active customer growth in the region. But even in our most mature market, the UK, underlying income growth was still a very healthy 26%. We saw a reduction in our cost of sales in the last year as we saw lower FX and account-related costs due to chargebacks. This was in part due to the calmer FX market, but also due to the continued improvement in processes and controls that we implement as we grow. This, along with a higher underlying income, led to a 10 percentage point increase in gross profit margin and underlying gross profit increasing by 51%, creating increased capacity for us to invest. So, where did we invest last year? From a marketing perspective, we focused on the effectiveness of spend. We invested in our marketing team, growing the headcount by 27%. As we believe in the long-term, this will give the longest benefit. This allowed us to maximize the value of our external spend. And while that external spend was broadly flat last year, we acquired 20% more customers than the previous year. From a product and infrastructure perspective, as Harsh mentioned, we continue to increase our investment in the products and features which our customers love, adding new features, improving speed, reducing cost. We have an engineering team of over 800 people working daily to achieve money without borders. From a servicing perspective, with new and active customer growth we are seeing, investment into our capability to provide exceptional customer service is key. As Harsh referenced, we had to pause business onboarding in the UK and Europe in the second half of last year, and we've learned from this slowly reopening the markets and ensuring we had sufficient capacity to deal with any spikes of demand. These products and customer experience investments continue to create loyal, evangelical customers using more of our products for longer. Finally, from a core functions perspective, we also continue to invest, although in a controlled way, investing in our risk management capabilities as the business continues to grow in size and complexity. This investment can be seen in the growth of operational costs over the year, which increased by 24%. Third-party costs increased in particular as a result of our choice to use a portfolio of specialist outsourcing providers for specific elements of servicing customers, allowing us to flex capacity up and down more quickly. This all results in underlying profit before tax up 226% on the previous financial year. As you can see, the adjusted underlying EBITDA margin was significantly elevated above our target of low 20%, in particular as a result of the lower cost of sales I mentioned earlier. This has allowed us to invest a significant price reduction in April, and therefore, we expect a lower profit margin in the current financial year, more in line with our guidance levels. Up to now, I focused on underlying financial performance, which is the core of the business and has grown significantly. But switching to reported profit before tax, including the net interest income above 1%, this has grown even more and was £482 million last year. Under our interest framework, we retained 20% of this additional interest for our owners. And of the remaining 80%, we were able to return 35% of this to customers, leaving an additional 45% that dropped to reported profit before tax. We were able to launch programs in Europe and the US to return interest to customers, but in the UK, the current regulatory framework doesn't allow us to pay interest. And this accounts for over half of the balance remaining. Overall, we end up with a reported profit before tax and earnings per share 3 times the amount from last year. Clearly, this was significantly impacted by net interest income, but also by a strong customer-led growth in our underlying business. Reported free cash flow was £486 million. This is a profit before tax to free cash flow conversion rate of a 101%. Looking forward to the current financial year, we will continue our investment in the business, in particular, focused on lower prices and better allocation of costs off the back of our detailed analysis. We've already implemented a price drop of 2 basis points and also initiated a wider price rebalancing following our improved cost understanding. The aim is to continue our drive for lower prices for customers. We will continue to invest in customer servicing teams to deliver the optimal onboarding and ongoing customer experience we can and to ensure we can deal with new customer demand. We will invest in increased and increasingly effective marketing spend, ensuring we spend incremental investment wisely. This includes kicking-off a targeted expansion into brand marketing in two markets this year with the first campaign already kicked-off in Australia. Finally, we'll continue the rollout of more features in more markets, including the assets product that's been referenced before. As you've heard from Kristo, the investments that we're making are generating strong product-led customer growth. More customers are adopting the Wise account, reflecting the value of this product to them. This generates more cross-border volume, more balances, and more investment into assets, alongside also more use of the card, and therefore, more underlying income across a broader product set. In this financial year, we expect underlying income to grow by between 15% to 20%. Last year, we had the capacity to invest in price, but we didn't reduce prices until we were confident that the reductions in FX and product losses were sustained. We executed these price drops at the start of this financial year, and the timing of this price reduction will have an impact on the year-over-year growth rate by about 5 percentage points. So, let's reflect on where we've come to. It's three years since we listed on the London Stock Exchange in 2021, and the business is fundamentally different to the one then. Our underlying income has grown by nearly 3 times, strong active customer growth of more than 2 times. This has driven cross-currency volumes up 2 times. We've also seen an acceleration in the adoption of the Wise account and in particular, the fast growing Wise card product with card and other revenue over 6 times up in these three years. Alongside this, central banks have increased interest rates, turning the holding of balances from a cost as it was three years ago into a growing source of additional underlying income. Those balances are up 3.5 times from a cash perspective, but if you include the assets product, that's nearly 4.5 times. This underlines what we have achieved, but the opportunity for us remains substantial. Many millions of people and small businesses move trillions of pounds across borders while overpaying for a poor service. To further unlock this opportunity, we will continue to invest into our long-term growth potential. We'll continue to invest in marketing to improve product and infrastructure, to price reductions, and improved customer experience, driving growth in new customers and increased levels of customer activity. The market leader over time will be the provider of the cheapest, fastest, and most convenient service with the broadest coverage. This will only be achieved through building the best global infrastructure. We will continue reinvesting back into growth each year over the medium-term, whether it's investment into price, product, infrastructure, exceptional customer service, or marketing. Investments into price will bring down cross-currency prices and will drive long-term growth for the business. Therefore, in the medium-term, starting from an FY '24 base, we expect medium-term underlying income growth to be between 15% to 20% CAGR as we continue to grow profitably and invest for the long-term. This is growth on an underlying income base of nearly £1.2 billion, which we had in FY '24. From a profitability perspective, we retain the same profit margin target that we had at listing. Although we moved to an underlying rather than a reported basis. And because we see share-based compensation now as a cash cost as we decided to purchase shares into the employee benefit trust rather than issuing use new shares, so to prevent dilution for shareholders. We've moved from an adjusted EBITDA earnings guidance to a PBT range. This PBT range of 13% to 16% is equivalent to an adjusted EBITDA margin of 20% to 23%. Clearly, with interest rates continuing to be above 1% for the foreseeable future, we expect reported profit before tax margin to continue to be higher than this, contributing both the 20% of this additional interest that we retain for shareholders, plus the part of the balance that we're not able to return to customers. So to close, and as Kristo covered earlier, the market is huge, and never has it been more important to give customers value. We know that success in the long-term will depend on the quality and depth of our infrastructure. We'll continue to invest significantly to build our network around the globe, driving faster and cheaper payments. We continue to focus on building products that customers love, which in turn fuels the growth from our evangelical customer base, and we will do all of this while remaining profitable and highly cash generative. Thank you, and now we'll move to questions, which I think Martin will coordinate.
A - Martin Adams: Great. Thank you. Thank you, Kingsley. Should we just flick back a slide?
Kingsley Kemish: Oh, sorry.
Martin Adams: Yeah. Great. Thanks. So, yeah, onto Q&A. Thank you very much for the presentation. So, with Q&A, we'll start in the room. If you'd like to raise your hand, I see some of you have already, and we'll get a microphone to you. If you could just start by introducing yourself, and then following that asking your question, that'd be great. We'll start in the room, and then we'll move over to callers on Zoom shortly. Thank you.
Justin Forsythe: Good morning. Thank you very much. And thanks, Kristo, Harsh, and Kingsley. Appreciate the time. This is Justin Forsythe from UBS. Couple of questions from me. So, maybe you talk a little bit about the margin guidance. I think you've pretty notoriously come in oftentimes above that over the last several years despite, I know, some benefit from interest. But could you talk about the underlying PBT guidance for margins of 13% to 16%? Clearly, you exited the period at something higher than that. I mean, you talked about spending down to those levels historically, but kind of haven't. So, how should we think about that? And parse maybe between the different buckets of expenses? So, is it mostly headcount growth driving that? Is it marketing uplift? And then maybe you could talk a little bit about the top-line guidance as well. So, there's a component of that, which is the growth in the 1% -- first 1% of interest, as well as the underlying operating expectations. So, maybe you just parse through the two impacts there? So, what are you expecting that 1% to grow, which is effectively guiding balance growth in a way, and the core part of the business? Thanks.
Kristo Käärmann: Thank you, Justin. So, I think we've done a really good -- so kudos to the finance team. I think this was a really good move to go from the reported PBT to underlying PBT, profit before tax, because it really describes better the core business. And we don't know what the interest rates are going to do. We don't know what the regulatory environments tell us about what we can pass back. So that should give us much better guidance in the future, much tighter guidance in the future. So, I'm really happy that we're doing that, but I think the questions are quite appropriate for Kingsley.
Kingsley Kemish: I'll start with the profit margin. Like, as you said, like, it's always been our stated aim to target the same profit margin that we're doing now. And there's sometimes where, as we had last financial year, we saw costs come down, and we want to make sure it's sustainable. So, sometimes we will see slightly higher profit margin before we have the confidence to reduce prices. But we are targeting that margin, and that's what we expect to be the margin in the long-term. And we will invest to that. And by investment, what we're talking about, clearly, we will invest across all of the areas of investment that I laid out. I think we expect to have more opportunities to invest in price going forward and to really reduce those cross-currency prices for our customers because, ultimately, what we see is, that's the number one reason why customers come to Wise, and it's the driver of in the long-term, the winner in this market is going to be whoever offers the lowest prices. So, we expect more opportunities to invest in price, but we will continue to invest in marketing, product, and excellent customer service. I think that was the first question. I think the second question, you were talking about the kind of, I guess, the makeup of underlying income growth. I mean, we expect a continuation of the strong active customer growth we've had. Clearly, off the back of that, we expect continued growth in balances that customers hold with us. Like, the dynamic of whether those balances are in cash or become more in assets, like, it's hard to forecast. But we expect strong growth in those balances. We expect strong continued growth in card usage, Wise account usage. And that all coming together is what effectively leads to the guidance we've given. Also reflecting, though, that we expect to be dropping prices, and that will have effectively an impact in that growth.
Kim Bergoe: Good morning. Thanks for the presentation. It's Kim Bergoe from DB Numis. Just a couple of slightly more sort of higher-level questions. One is about competition. Can you talk about what is the competition environment looking like now? And also, if you could talk a little bit about sort of price elasticity, you talk about how it being -- having the lowest price, how that helps. But how should we be thinking about? Is it -- how would -- a couple of basis points, does that mean anything? So, a little bit about how you see price elasticity? And then secondly, on the Wise platform, so Harsh, you mentioned Swift, you mentioned also Nubank, which I think has about 100 million customers in total and it's growing tremendously. How should we be thinking about -- how should we think about the sort of opportunity there? When are we going to start seeing sort of the effects coming through? Thanks.
Kristo Käärmann: Okay. Thanks you. Maybe I'll start, and then I'll hand over to Harsh. So, your first question on maybe kind of continuing on what Kingsley just elaborated, we see the biggest driver -- we're seeing the biggest driver of growth in the business being new customers. We're seeing the biggest driver of new customers being the word-of-mouth or recommendations. We're seeing the biggest driver of recommendations being the fact that we're so much cheaper and more transparent than the banks. So, -- or any or anything else that is available. So that's why Kingsley, me, Harsh, we're all quite excited about remaining -- retaining that position and getting a head start, because we're setting now the benchmark of what the prices need to be, and we're making that available to our partners, through the network as well. And you'll see we're able to do this in a super sustainable way. We're growing fast. We're accelerating, and then we're at the same time kind of retaining the profitability levels. So, in that sense, over the long-term, the price elasticity, if you call it, it does really matter. It really, really matters over the long-term. What are the short-term effects? These are very hard to estimate because the most important thing is the world travels. The world travels. People will know where to look. People will know how to -- will get more actually smarter of how they compare their options so -- and kind of start figuring out what the banks actually charge. So, this is all kind of moving in the right direction. But your further questions on investments in infrastructure platforms...
Harsh Sinha: Yeah. For Wise platform, so first of all, we are excited that we have now 85 partners globally who think what we've built over the last 13 years can be used for their customers, right? So, this is testament to what we've invested in over the long-term. I can tell you, like, even four, five years ago when we went to the banks, they'd be like, not sure. And now they're seeing that change, and they are seeing it because their customers are moving to Wise, and they're figuring out how to retain these customers in their own experience. So that's great. Specifically on Nubank, like, yes, it's a flagship bank there now in LatAm, and it's still early days as we just launched the integration. But I have to remind you that the challenge that our Wise platform team has is that the core business isn't like the people who come to wise.com and our Wise Apps, that's still growing pretty healthy and very healthily. So, as a percentage basis of what volume moves across partners, it's still early days, right? But I fundamentally believe and we fundamentally believe, again, this is a much more longer-term investment because if you think about from a bank's customer perspective, and if the banks are doing the right thing for the customers, they should be plugging in the cheapest, best infrastructure into their own apps. And we are seeing this with the neobanks because they are faster to move. They may not have old relationships correspondence, so that's -- they're seeing that, and that's becoming an advantage for them that the incumbent banks are, like, trying to defend against. So, still early days for Wise platform, but overall, we're very excited on what's happening. Yeah. So, Swift, I think, again, like, we just launched this product. Like, there's more than just one thing that happens, which is, like, somebody goes and changes the code. Like, of course, that's become easier. But the bank sales cycle is pretty long, so we're still working through that. But we have some very good interest when we announced it, I think, in Sibos last year. We got a lot of interest in the industry on that. So, that was good. Like, at least we had conversations that opened up, which previously would have been harder to sometimes open up because of technical integrations with just years. So that's been a good initial opener for us.
Orson Rout: Thanks. Hi. Orson here from Barclays. Just two from me. First is on the gross profit margin. There was obviously a lot of details on sort of card revenue. Was wondering if you could quantify what the impact on gross margins is once card revenue becomes a bigger share, whether that should sort of be full of as a positive gross margin impact or if it's more broadly neutral? So that's the first one. Second one then is just, again, on the timing of the PBT guidance. Obviously, you mentioned that's a longer-term target. And I think you said before that that you're looking to invest to bring the numbers to more in line with the target. But could you give a bit more color on sort of the timing when you'd expect to be in that 13% to 16% range? Is it sort of something that will take a couple of years, or can we already expect to be in that range shorter-term? And then, wait, maybe one quick final add-on is just on the marketing spend. Obviously, you've committed to increasing that. Do you expect volumes to actually see a bit of a rebound as a consequence of the increased marketing spend? Thank you.
Kristo Käärmann: And most of the questions are for Kingsley, but I'll maybe can set the scene a little bit on the principles level. So, at a principles levels and, actually, that's a good maybe reminder of us doing a relatively large structural price adjustment over the -- we're still kind of in the middle of this over the last couple of months. The principles are that there's no -- unless there's a really good reason for some transactions less profitable than others, we've designed our products in a way that all of our -- all of the activity that the customer does has the same profitability margins. So, we don't create some weirdness where part of the business is subsidized by the other part of the business. So, on a principles level, and maybe Kingsley will come in more specifically, we expect all the revenue or all the income that we're reporting be the same quality, basically. There's no difference in the quality of the income coming from one source or the other. But then, maybe more specifically, on to you.
Kingsley Kemish: I think in relation to kind of card and specifically, yeah, Kristo echoed, like, all of our products are profitable, but we haven't taken the decision yet to break out card as a specific stand alone. Like, clearly, we've talked about this card only kind of a subset of customers, but they effectively also like they're not doing cross currency transactions outside of card, but they do have balances. They do have interest income. So, I think we decided not to specifically break out the card's kind of economics at the moment. But going back to the point, all of the products are profitable, which is key to our kind of core. I think you look talked about then the profit margin. I mean, we -- this isn't a kind of we expect to get this in the future. This is the margin that we're targeting. So, kind of in relation to timeline, we're expecting to be in this -- in kind of sooner rather than later. And like – and that's what we effectively -- when we look at the capacity to drop prices more recently, that's what we're taking into account. I think then finally, you asked about marketing. I think we -- yeah, we expect -- we are increasing our investment in marketing. Clearly, we expect that to have a positive impact on growth of customers. And -- but, also, clearly, this is alongside that two-thirds of our customers still come from word-of-mouth. So, from a portfolio perspective, yes, we can expect to continue to see healthy new customer growth.
Kristo Käärmann: And this is very fascinating, actually, on the marketing side is what Kingsley mentioned earlier that we -- our media spend stayed stable, stayed the same, but for the same spend, we managed to bring in 20% more customers from that media spend. So, the driving efficiency in marketing, I think that's actually a very valuable thing that we've been able to do.
Gautam Pillai: Thank you. It's Gautam Pillai from Peel Hunt. Can I come back on the cost base, again? So, on the gross margin side, are you working on any direct connections in the near-term which can lower the partner fees and hence have a positive impact on gross margins? Secondly, on the investments, despite the margins going up quite a bit, you have made significant investments in fiscal '24, which you showed in one of the slides. So, when we think about cost growth in FY '25, should that be in the range of 15% to 20%? But if you're going to the 13% to 16% PBT margin, it implies the cost growth is going to be quite ahead of the top-line growth. Is that the right understanding? Thank you.
Kristo Käärmann: I guess this is again for Kingsley. We are working on direct integrations eventually everywhere. And this is really the -- I'd say, the ideal goal or the ideal end state almost of our infrastructure where we get to connect to the instant, super low cost, independent local rails as we have just reported in Australia. And so, we're at 5 today. There's a lot more to go. So, there's going to be more of that happening. Again, Kingsley maybe wants to comment more on the cost base, but I would say we kind of expect the structure of our unit economics be relatively stable, again, by design. So kind of on the broad level, I wouldn't expect gross margin expansion necessarily from that to be too significant.
Kingsley Kemish: I think that's true, because I think it was the -- with the direct connection and reduction in those costs, it gives us capacity to increase investment. So, rather than seeing that as an opportunity for expansion of gross margin, it gives us the ability to reflect those costs into the price that we're charging customers to continue this growth flywheel. So, that's, I guess, in related to your first question, that's actually kind of what we expect to see as we see these costs come down with new direct integrations, et cetera. I think for the second part of your question, where should you look for FY '25? Well, as I kind of set out, we continue to expect to invest, increasing our marketing spend, increasing the kind of, like, consistent with last year around investing in our servicing and looking to continuously improve the customer experience that they get, so the onboarding experience and the kind of ongoing kind of customers. Because, fundamentally, with two-thirds of our customers coming from -- new customers coming from word-of-mouth, the quality of the service that we provide to our existing customers is driving our kind of biggest acquisition tool. So, I think kind of something similar from a kind operation expense kind of growth perspective that you saw in FY '24 is kind of reasonable.
Alex Short: Hi. Alex Short from Berenberg. Just going back to the guidance, well, actually the volume builds. I understand customer growth has been very strong. And if you look at the web tracking data for Q1, it looks like it's been extraordinarily strong so far this fiscal year. Could you just comment on the VPC element, particularly with regards to the cyclically low, high VPC transfers versus the structural geographic product mix element?
Kristo Käärmann: Sure. I'm going to -- again, I'll hand over to Kingsley. Kingsley seems to be getting most of the questions, which is correct. So, you're asking about -- you're really asking about the changing or shifting customer mix, and you're right to do so. We -- that's the reason we also pointed out that we have these new segments that we had no right to before, are starting to now show up in our customer base and are actually growing very fast because the product really works for them. So, you're asking how to think about the customer mix going forward? What is the speed of development of each of these segments? These are all the good questions. I think there's probably limited guidance that Kingsley can give you on that, but kind of...
Kingsley Kemish: I think, like, clearly, what we try to bring out with this card-only segment is to highlight the success of the build. We've effectively got this customer base. We didn't kind of design it for specifically, but we have. That's growing fast, and has a relatively stable, but lower VPC. So, that dynamic, we expect to continue. There's nothing to tell us that people aren't going to adopt the card as a product to use when they travel, et cetera. And that's their kind of back cross-currency use case. So, from a VPC dynamic, that will continue.The adoption of the Wise account and more products will continue to continue. So, I think those elements. You then asked on the other piece that we talked about before is the slower growth in the higher value transactions. I mean, clearly, that started from around the time interest rates started to rise. With our recent kind of rebasing of our prices, what we do see is we are reducing prices most for the customers who are transacting at higher volumes -- value. And we hope that has a positive impact on that side of it. But exactly how and when and whether there's also the macroeconomic dynamics to that, we can't tell. But as we continue to invest in price and other things, we hope to have positive impact.
Alex Short: Thanks. And just one more if that's okay. Maybe to Harsh. The one cost line which seems to be growing out of OpEx in line with underlying income is the servicing or the servicing headcount, let's say. What potential is there going forward to reduce that or reduce the rate of growth below the rate of underlying income growth?
Harsh Sinha: Yeah. I mean, I think as Kingsley said before, right, the reason why people are joining is, two-thirds of the people are joining because of word-of-mouth growth, right? So -- and we saw this when we had businesses who wanted to join, but we couldn't service them, like, last year. So, we had to take some mix of hard costs. So, we will continue to invest in making that experience to be really, really good, and that helps us then drive the word-of-mouth growth, more active customers. And in the longer run, this is where we will invest. So, we'll continue to do this, including -- and then also investing in product engineering, and also using the new technologies that exist now, and this will evolve, like, what's happening with LLMs and machine learning. We hope in the mid- to long-term, we can use those technologies to reduce the spend where we're doing more -- maybe more automated -- manual work where we can automate stuff. So, it's still early days, so predicting that, like, when that spend and stuff will go down is a bit harder, but, obviously, we're working on these things. And as I said before, we fight financial crime way better with automated technologies and only alerting stuff that our agents really need to review, and the scale at which we're moving than, like, other incumbents. I think this investment is showing that it's been coming to fruition over the years.
Aditya Buddhavarapu: Hey. This is Aditya from Bank of America. Thanks for taking my questions. Few from my side. Firstly, if you can just comment on the active customer dynamics? If you look at Q4, there was some sort of -- and especially in business, around probably pausing customer onboarding. With that now back on track, can you just comment on what you've seen since then? Second, on the cost or the OpEx side, one of the things I think you highlighted at the Wise Connect event was how you could add a large number of transactions with very minimal increase in the operations team or the compliance team. So that shows me that you have a lot of scale. But now you're saying you're going to hire 1,000 people this year. So, could you talk about where you're hiring? What sort of roles, regions, and what's driving that sort of ramp-up in the headcount growth this year?
Kristo Käärmann: Sure. I'll maybe start for the second one, actually, and then we can come back to the kind of customer dynamics. So, you're totally right that there are elements in servicing and our cost base that respond very well to scaling. Payments -- Harsh keeps telling me, payments is a scale business. So, the vast scale is the thing that that really sets up different economics than those who only command the small scale. But when we talk about servicing, so there's two things in play. One is, for sure, we have scale effects, but the other is, well, as Kingsley described before is that, it's worth the investment. So the level of service is increasing. So, our ability to increase the level of service or the experience that customers get is worthwhile. So, we might not take all the scale effects and rather invest more. So, you're right about both, basically. There are scale effects, but there's also worthwhile investment. And first question, I don't know if I fully understood, but it was more about the -- so what are the new customer dynamics? Do we see a lot of demand? Yes, we see a lot of demand. We see that demand should be geographically really distributed in the same way. We see new pockets of demand as well. So, we saw this card example is a good one here that product wasn't really available or working for a set of customers, a set of use case that it now is. But if you had a -- please do clarify.
Aditya Buddhavarapu: I think it's a bit more specific on business customers where you had some issues maybe on the onboarding side in Q4. I guess, you now resumed that. So, have you seen back to normal levels of activity on business customer growth? Totally. The demand hasn't gone anywhere so that we see the demand is there, and you could work out. It was only really close for European businesses, right? But we sell businesses elsewhere, like, all around the world. So maybe the numbers effect will when you start modeling it might -- you should be thoughtful about that. But, yeah, the demand is totally there. Thanks, Aditya.
Aditya Buddhavarapu: Thank you.
Adam Wood: Hi. Thanks. It's, Adam Wood from Morgan Stanley. Sorry to come back to the PBT guidance, but maybe if I could be very direct. You've given underlying income guidance for '25, but you haven't given guidance for PBT. It's a midterm guide. Does that suggest that we shouldn't be in the range of 13% to 16% in '25, but we should be there shortly afterwards? Secondly, when we look at the midterm guidance on top-line, you're now saying 15% to 20%. I think at the half year last year, the income guidance was above 20%. You're lowering pricing and putting quite a big investment into headcount. I think we all appreciate with pricing that limits your growth this year. But could you just help us understand a little bit about why you're bringing that guidance down in the midterm despite the investments you're making in those two areas? And I think the specific concerns I've had from investors this morning would be around competition and would be around penetration, particularly, of that large volume customer segments. So, you're forced to bring on Wise account users or Wise card users, sorry, Wise card users specifically, that bring on a lot of customers but don't bring on a lot of volume. And so, you're kind of running fast to not bring on the same volume that you would have been doing when it was the large use case cross-border transactions. And then, maybe just finally on the business adds, could you -- is it possible to give us a kind of what it would have been had you not frozen? Or, alternatively, what your capacity to onboard business customers is now versus where you were freezing those adds last year? Thank you.
Kristo Käärmann: Okay. Adam, thank you. I know you were waiting. You had a lot of questions.
Adam Wood: Sorry. Thank you.
Kristo Käärmann: Let's try and take one by one, and please do remind us if we forgot. So, your -- I think your question on...
Adam Wood: It's about margin sort of...
Kristo Käärmann: ...guidance, I think that was really easy. It's midterm guidance. I think it...
Kingsley Kemish: Because we've only ever given profit guidance in the midterm. Clearly, that's where we expect to kind of, like, target and be, but we only ever give that in the midterm. I think the second question you were talking about was investments in price and other things. I guess, like, why aren't we -- why is the midterm guidance 15% to 20% if we're expecting these -- I mean, ultimately, throughout our history, we've invested in price. We tried to be the lowest price. And, clearly, we really believe that that's going to be the what wins in the end, and that's going to be the business that's successful in this place -- space is going to be the one that's the lowest cost. When we make these investments in price, it's hard to say exactly when that kind of positive impact. We've seen it over the last 13 years, but it's not something we can definitely measure in the next week, month, or even in the -- kind of in the first couple of years. And we expect, as we do see that uptick, though, to continue to invest in price. So, this isn't a one-off investment in price. This is a continual investment in trying to bring down costs for those cross-border transactions to the lowest we can and that we expect that to continue to drop over that medium term. So that's kind of the fact you're seeing as we have capacities. In fact, we might see a uptick based on increased volumes. We then would create more capacity to reduce our prices further and invest across the business. Sorry. Go on.
Adam Wood: Yeah. But maybe just to reassure, it's not because you're seeing increased competition or you're seeing issues around penetration, particularly of high volume customers that slow the growth, it's pricing that is the delta?
Kingsley Kemish: This is what we've always done. This is the continuation of our mission to be the lowest cost we can be while being profitable and highly cash generative. So, we want to be sustainable. We're not do doing this at the risk, but we -- this is -- we want to continue to invest in this huge opportunity. Like, you saw how we've just scratched the surface really in relation to how far we've come, but we're still really big already. There's so much more to go after, and that's why we continue to invest in the medium term.
Kristo Käärmann: The unit economics -- the economic model pretty much hasn't changed for the last six years, I would say. We've gotten smarter in places or attributing what actually does cost us and what costs us less so that we can pass on the -- so we basically are always ultimately competitive in every transaction that we operate. So that's the -- that you can see some shifts in pricing, that some things get more expensive, some things get cheaper, but that basically aligns better with the cost base, which we believe we have the best cost base of anyone in the world, thanks to the world that Harsh's team is doing. And then you take it forward when Kingsley's name is kind of modeling how take these same economics forward, we're not planning to change that. Like, how would -- how do we expect the -- from the what we know be the guidance that we can give on the underlying growth.
Adam Wood: I'm sorry. The final was just on the business customer adds in terms of -- is it possible to give an underlying number or a capacity of adds for this year?
Kristo Käärmann: I think the way to look at this, Kingsley told me before is you can basically look at what is the rate that we've been adding business customers, which we report the active business customers in in the past. So, you can kind of figure out what it was in the past. And from there, you can, I think, work it out forward. Right. One more from the room from the -- I think we...
Daniel Sykes: Thank you. I'll just sneak in there. Daniel Sykes from Redburn Atlantic. I was just wondering if we'd touch on the business customer capacity again. I mean, obviously, we saw a slowdown in H2 of '24. And as you flagged, that was for operational reasons and a choice. We then got strong profitability for H2 '24. And I'm just wondering why that wasn't really invested in increasing that service capacity and being able to stop the closure of Europe in the first place. And I guess, when we look forward to 2025, it seems that there's more of an investment in price rather than increasing that capacity in business customers. And then secondly, obviously, very well capitalized, very strong cash balance, and we expect, strong cash flow yield helped by NII looking forward. I mean, what are the plans with the capital as well? Thanks.
Kristo Käärmann: Can I pick up the first ones? And I don't know, Harsh, if you want to add. We -- it was invested in capacity and being able to onboard customers. We totally want to -- we want to -- we welcome customers on the platform. We just want to give them the service that they deserve. And it takes time to build up capacity, so we just didn't get there fast enough. So, one just small reminder of kind of numbers that we're talking about. We onboarded last year 5.4 million financial services customers across the entire globe in all these jurisdictions with all of these different requirements. I don't think there's many companies that can do something similar. So, it's once you get to the bottom, how do you onboard customers in Japan versus onboard them in Australia versus onboard them in Canada, Brazil, it gets quite interesting. And at 5.4 million, let me just translate this back into months, right? So, this is -- it's almost 0.5 million a month now that we're onboarding to Wise. So there's a huge operational machinery, supported by the -- all this technology that Harsh is building. And, and our job is to make sure that that machinery is able to serve as many, as many customers who who want to join us in most places around the world. And I think we've actually done pretty incredibly being able to securely bring these customers onto Wise. And in the pause that we had cleared it up pretty quickly.
Harsh Sinha: Yeah. I think that's it. And sometimes you predict demand, it'll be off maybe, so you have to then hire the team. So, yeah, basically, the shutdown was we're like -- we have these customers waiting. Do we give them and everybody else will come after them a poor experience and drive down word-of-mouth? Or we just make this choice and then we bring that back when we had better service levels. That's what we invested in, and that's it.
Daniel Sykes: Okay. And then just on capital allocation?
Kingsley Kemish: Yeah. On your second question, you're right. We've got a strong capital and cash base. We have to remember, we're a highly regulated financial institution, and we have requirements to maintain a certain level of capital and liquidity. And we clearly, on top of that, have an extra amount that we want to, from a management perspective, to kind of increase safety and allow us to take the opportunities of growth into new markets, into new licenses, which have their own capital requirements. So, I think, we design the level of profitability we're looking for to make sure we do generate the capital we need and liquidity we need to meet our requirements. Clearly, there's a potentially short-term kind of additional amount that's come from net interest income that we can't control how much that's going to be and how long -- we don't know how long that's going to last for. So, we're comfortable with the level of capital base we have. We've clearly taken the decision to use a small amount of that to purchase shares into the employee benefit trust to prevent the kind of dilution impact of new share options that we exercise. That's kind of all we decide to [indiscernible] to use it, and we for now, we want to kind of retain this because it gives us maximum flexibility to take opportunities going forward.
Kristo Käärmann: Thank you. I think we can go to the stream. Martin?
Martin Adams: Yeah. Great. Thank you. So, just moving over to Zoom for a few questions now. I will start with [Deepshikha] (ph) at Goldman's, please.
Unidentified Analyst: Hi. This is Deepshikha from Goldman. So just quickly, I think a lot of my questions have been answered, just one. Clearly, the margin and the growth, the target that are there, they imply, like, a continued growth investments, and you have talked about the areas that you plan to invest in. So how basically are you thinking about payback? So, like, you talked about, like, the marketing -- the efficiency that was -- like, the efforts that were done in terms of building internal efficiency and marketing. The payback was less than six months. So if we are talking about, like, these investments where you have things like external marketing, et cetera, how are you thinking about payback, and what does the duration for that looks like -- look like?
Kristo Käärmann: Deepshikha, it's a really great question. And, again, if you allow me, I'll give a non-finance answer to that. So, there are indeed parts of parts of our operations that are relatively easy to model. So we should only invest in media spend where we know that it returns at a certain time, so these can be really well modeled and gives us very good guidelines how to operate. If we look at our engineering spend or operation spend, on one end of the spectrum, you could argue that all of the customers, all of the volumes that they're moving, all of the -- all the profitability that we're talking about is a payback from the spend that we have been making over the years. So that, at a very high level, gives us enormous amount of confidence that what we're working on has resonated, has built an ever larger business, which doubled and sometimes tripled in size, compared to when we started trading at the exchange. So it's hard to pinpoint down on what are this year's product or servicing investment going to contribute to the overall package, but our confidence at the global level is just relying on the experience that we've seen over the 13 years. I don't know if there's a some more finance or more specific finance answer to this.
Kingsley Kemish: I think it's the same thing. Effectively, we continue to invest. And if we -- when we see the fruits of that investment coming back, it gives us the ability to invest further. And exact paybacks on our kind of price reductions or on investments, it's hard to measure, but we know that works to date, and we know that where we're trying to get to is the right place to get to.
Unidentified Analyst: Thank you.
Martin Adams: Thanks, Deepshikha. So moving now to, Hannes, please, at Jefferies.
Hannes Leitner: Yes. Good morning, everyone. Thanks for letting me on. I have also a couple of questions. So, the first one would be good to understand with all those investments, what do you think is the growth rate in active customer going forward? Do you think that this should stay stable around 29, 30%, or you think that you can accelerate that even if you then also consider, like, for example, new partnerships and other partnerships? That's the first one. The second one is, thanks for reminding us that the margin guidance is a medium-term guidance on PBT margins. So, maybe you can just give us some indication what you expect 2025 will be as a starting point. And then overall, what is your confidence as this guidance is set as a starting point as of now, and what could be the influencing factors to be at the high end or the low end? And then, the last thing is on investments in headcount. Should we expect this the same mix of people you add as you did this year, like, 150 people in product, 150 in marketing and the rest in operations, or is there a different split? Thank you.
Kristo Käärmann: Okay. Let me maybe try and reflect on the first one and the last one, and then Kingsley will cover the guidance again. On your first question on the...
Hannes Leitner: Active customer growth.
Kristo Käärmann: Exactly. Active customer forecasting, I think what we're trying to articulate here through this presentation is give you a better insight that as our products are expanding, as the use cases are expanding, then from the analyst community, you probably also want to start modeling or forecasting at more use case basis. So I think, that is the reasoning or that is the insight that we're hoping to pass on. Of course, we haven't given any guidance on customer growth, and we would find it very hard to do. But, hopefully, some of the underlying dynamics have been helpful to you. And on the last one, which was...
Harsh Sinha: Headcount split.
Kristo Käärmann: Headcount split.
Hannes Leitner: Headcount.
Kristo Käärmann: Yes. So, headcount split, really -- it's -- the overall spend that we -- or the overall investment into growth, we're very thoughtful about or spend growth, if you like, we're very thoughtful about. But how it splits is a little bit more driven by what looks like the most useful or most immediate thing to invest in. So that mix will change. I don't necessarily expect or we don't foresee any drastic changes. But you might see some change in the mix of how the headcount or employee expenses are growing.
Harsh Sinha: I think that's why we put up the slide that Kingsley talked through, like, just to give you a color on where we are investing. But, like, top-line should not change as much, but the mix may change depending on what's happening in the business, what may be happening at macro levels. So that's how we think about it.
Kingsley Kemish: And I think going back to the profitability guidance, we kind of said before, like, we give a medium-term profitability guidance. That's where we aim to be, and we don't give guidance on a kind of more short-term basis.
Kristo Käärmann: And that guidance hasn't changed.
Kingsley Kemish: Yeah. And it's the same guidance we've had since we listed.
Hannes Leitner: Thank you.
Martin Adams: Great. Thanks, Hannes. Moving now to, Josh, please, Autonomous.
Josh Levin: Hi. Good morning. Just -- you mentioned you were ramping up marketing spend, and I wanted to know if you could provide more detail there. Are you spending more in marketing because you're going into new geographies or because you're looking for new customer segments or because competition has intensified or for some other reason altogether? Any detail you could provide here would be helpful. Thank you.
Kristo Käärmann: Again, I'll give you the high principles view. The principle is we invest in marketing where we have confidence that it pays back. That is almost the most important thing how we think about marketing and media spend. And when we see that there's an opportunity that we can amplify our product experience through marketing channels, through paid marketing, we will do that if it pays back. So, the amping up of customers -- amping up of marketing spend, I think if you translate back, actually means we think we found places where it's going to pay back, and that's the reason why we intend to spend more.
Josh Levin: Thank you.
Martin Adams: Thanks, Josh. Moving to Andrew, please, at Wells Fargo.
Kristo Käärmann: Hi, Andrew.
Martin Adams: Yeah. Just moving to Andrew. Could you just check unmute? Thanks.
Andrew Bauch: Sorry. I was muted there. Thanks for taking the question. Just wanted to move to price once again. I know that the part of the strategy is the ongoing lowering cost for customers, and that's well appreciated. It does appear that the pricing changes you're making this year are slightly larger than what you made in the past. So just want to get a sense, is this a level that from a price perspective that you plan to operate it for multiple years? Or how should we think about the level of price on a multiyear basis? Is this something that we can anticipate each year? Or just trying to think of the cadence of it over time.
Kristo Käärmann: Again, I'm not going to repeat everything I've said over the years is, we should expect the total cost or the effective cost for customers to go down. We expect ourselves to get huge benefits from the scale effects and when reducing the cost to serve. We are operating a cost-plus model. So, the reason why the prices wouldn't go down is if we make no progress and -- or if we make very limited progress in scaling or improving our efficiency. So, the short answer is yes. You should expect the cross-currency take rate or the cross-currency fees that we report to our customers do go down year-by-year. But one thing that hasn't changed is our underlying unit economics. That hasn't changed for many, many years, and we don't see this changing in the future either. So, all of the actions that we're going to take on fees to customers are going to come from the basis of profitability and sustainable forward-looking operations with plenty to invest in the infrastructure and even more scaling in the future.
Andrew Bauch: Understood. And then, my follow-up is how -- can you just talk us through the education process in really getting the word out? Is it via the marketing investments that you're making to really just kind of showcase how you are the lowest cost product in the market and -- or how do you kind of see that education process evolving? I'm sure it's something that you've been dealing with for years now, but if you're making changes of this magnitude, maybe if you want to kind of beat the drum a little bit louder.
Kristo Käärmann: For sure. In fact, actually, I think it's not only our job to kick the drum louder. One thing that's that I've seen progress on and has been very, very welcoming is the regulators, policymakers are also starting to pick up that it's really weird we're letting banks hide their fees that they charge from their customers, and not give the public an ability to compare that if I'm using HSBC to move money, then I'm paying X or if I'm using something else, then paying Y. So, the -- our customers have waken up to this, so they've kind of figured out what the banks do. We're seeing some of the lawmakers, the regulators catch up to this as well. So, European Union was the first one to commission -- installed a law called cross-border payments regulation in 2021, which demands the European banks to disclose what they're charging against the real exchange rates, not against -- not just the made up exchange rates that they use. So this is starting to get some traction, especially in the card space, actually. European banks, are slightly better at showing what it costs you when you use a card abroad, which is another place where the banks tend to make up exchange rates. So, I'm glad that we're not alone in beating this drum. This drum is a worthwhile drum to beat for everyone, and we're seeing the regulators kinda pick up on that. You might have noticed, actually, in the US, the Consumer Financial Protection Bureau also issued kind of pretty stern guidance to their banks on what is okay and what isn't okay.
Harsh Sinha: I think as Kristo was saying, like, this education takes time, but as customers tell their friends that, hey, this is actually the real cost of moving money, and you should be using a cheaper option, and then pushing regulators also first move these laws and chase these laws, but also then start enforcing it, it takes time, but we hope pressure from both sides leads to this better understanding what the real cost of moving money is.
Andrew Bauch: Fascinating. Thank you.
Martin Adams: That's it. Thank you.
Kristo Käärmann: Oh, thanks, Martin. Thanks, everyone, in the call. Thanks, everyone, who joined us in the room, and we will talk again in six months. Thanks.
Kingsley Kemish: Thank you.
Harsh Sinha: Thank you.